Operator: Thank you for standing by. This is the conference operator. Welcome to Torex Gold's Fourth Quarter and Full Year 2025 Results Conference Call and Webcast. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Dan Rollins, Senior Vice President, Corporate Development and Investor Relations. Please go ahead.
Dan Rollins: Thank you, operator, and good morning, everyone. On behalf of the Torex team, welcome to our fourth quarter and full year 2025 conference call. Before we begin, I wish to inform listeners that a presentation accompanying today's conference call can be found under the Investors section of our website at www.torexgold.com. I'd also like to note that certain statements to be made today by the management team may contain forward-looking information. As such, please refer to the detailed cautionary notes on Page 2 of today's presentation as well as those included in the Q4 2025 MD&A. On the call today, we have Jody Kuzenko, President and CEO; and Andrew Snowden, CFO. Following the presentation, Jody and Andrew will be available for the question-and-answer period. This conference call is being webcast and will be available for replay on our website. Last night's press release and the accompanying financial statements and MD&A are posted on our website and have been filed on SEDAR+. Also note that all amounts mentioned in this call are U.S. dollars unless otherwise stated. I'll now turn the call over to Jody.
Jody Kuzenko: Thank you, Dan, and good morning to everyone on the line. I thought it's important to start with our strategy slide here at the outset. It underpins some of the opening comments I want to make about the CEO transition that was announced a few weeks ago. As most to follow us well know, one of the key reasons Torex has been able to deliver results so consistently over the years is that we have anchored our business and systems. Planning, scheduling and executing work in very defined, clear and thoughtful ways. And these systems are in place across all aspects of our organization, not just production and maintenance work at the operations. Succession planning within Torex is no different. This is something we plan for at all staff levels of the business. . Since Andrew joined Torex as CFO in 2021. He's been an integral part of developing and executing against the strategy that has yielded very successful results to date and beyond strategy, designing and implementing the systems that have made us successful. Certainly, certainly within finance, but well beyond that as well, including systems that touch projects and operations, maintenance and supply chain, all of this has positioned us nicely to now actually execute on the succession plan. So this transition really is a product of planning, planning that will deliver continuity for Torex and by extension, our shareholders. Our stakeholders should expect to see no less than the consistent results this team has delivered together over the past several years. This also means that there won't be a material shift from the strategic pillars outlined here on Slide 4. Our focus in 2026 will continue to be on servicing the value that now sits within our expanded portfolio. First, by demonstrating the long-term potential of Morelos through drilling, by delivering preliminary economic assessment for the Los Reyes asset by midyear, starting drilling at the early stage exploration projects acquired in Nevada and Chihuahua and with the cash flow we're now generating with Media Luna behind us aggressively returning capital to shareholders. Reflecting on the accomplishments from 2025 here on Slide 5, the year was truly a transformational one for our company. We achieved commercial production at Media Luna in May and successfully ramped up ahead plan through the year, exiting 2025 at a mining rate of 7,000 tonnes per day, well ahead of our targeted 6,500 tonnes a day. We remain on track to achieve design levels of 7,500 tonnes a day out of Media Luna by midyear 6 months ahead of the schedule outlined in the feasibility study. The success of this ramp-up can be seen on the slide. You can see strong second half production as mining rates hit stride and throughput at the process plant remains strong and stable. Production is expected to remain around these H2 '25 levels going forward, noting that in this year, production is slightly weighted to the back half, and there are a couple of reasons for this grade and what we're seeing at the mine through stope sequencing and achieving that 7,500 tonnes per day run rate by midyear. Strong 2025 production supported by a backdrop of high metal prices resulted in record annual all-in sustaining cost margin of 51%. Additionally, record quarterly free cash flow of $166 million enabled us to fully repay the debt we had accumulated through the Media Luna project. I want to take a moment to underscore this point here. Torex paid for Media Luna out of cash flow, no stream, no royalties, no equity raise. And here we are, 6 months post commercial production debt-free. Lastly, on this slide, but certainly not least, our next level safety program has been appraised across the business, which is evident in the lost time injury frequency of 0.07 per million hours worked for both employees and contractors, compared this to the most recently reported Mexican mining industry average of 3.61%. 2025 has certainly marked 1 of the safest years on record at the Morelos Complex. We expect 2026 to be no different. Slide 6 outlines our 2026 guidance, which was released last month. Gold equivalent production of 420,000 to 470,000 is markedly higher than the 383,000 ounces produced in 2025. This primarily reflects the full year of production from the processing plant and steady-state mining rates at Media Luna this year. Costs are largely in line with the all-in sustaining costs of $17.83 per ounce gold achieved in 2025. This is elevated over previous years due to the impact that significantly higher metal prices have on the taxes royalties to government and the Mexican legislative profit sharing that we pay our employees. Sustaining capital expenditures are slightly higher than the $107 million spent in 2025, as you would expect because this marks the first full year of commercial production from Media Luna. Non-sustaining capital expenditures this year include $100 million to $105 million related to Media Luna North project costs. as well as $65 million to $70 million on various projects across Morelo that are centered on optimizing and driving efficiencies. One example of a project like this is the construction of a conveyor that connects the Guajes Tunnel to the Guajes crusher. This conveyor will reduce rehandling costs by more than $1 per tonne mined from Media Luna. At our guided metal prices of $4,000 per ounce gold, $45 per ounce silver and $4.90 copper and the Mexican exchange rate at 19:1, we have forecasted generating $450 million of free cash flow this year. With where metal prices are sitting today, we're now forecasting this to be upwards of $700 million of free cash in 2026. Moving on to our 5-year outlook here on Slide 7, you'll note the stable production profile we expect to deliver through at least 2030. This outlook is also markedly improved from the previous 5-year outlook of 450,000 to 500,000 ounces of gold equivalent per year through 2029. So if you normalize this year's outlook for the 2024 reserve metal prices used in the prior outlook, production would actually be closer to 480,000 to 530,000 ounces of gold equivalent. This is a market step-up. A few factors contribute to this increase, including the Media Luna ramp-up being ahead of schedule, continued mine life extension on ELG Underground from ongoing exploration success and mill throughput consistently delivering above design levels. On the subject of mill throughput performance is outlined here on the left on Slide 8, you can see the second half performance was ahead of the design rates even when considering the 5 days of scheduled mill maintenance we had in October. The chart on the right showcases the quick ramp-up we had for gold and copper recoveries, both consistently achieving design levels of 90% and 92%, respectively, and silver recoveries are also ramping up nicely to the design level of 85%. On the mining front, mining rates at both Media Luna and ELG Underground are shown here on Slide 9. The chart on the left displays the steady ramp-up at Media Luna this year. The key to unlocking the final step-up to 7,500 tonnes a day by midyear was the successful commissioning of the final rock breaker, the final waste pass and the final waste conveyor this quarter, all of which have now been completed. ELG Underground mining rates have also been consistently ahead of the 2,800 tonnes per day we targeted last year and even delivered a new quarterly mining record in Q4. I expect to see mining rates stay around this 2,800 tonnes per day through the end of this year before reducing to more normalized levels when consistent feed is being delivered from Media Luna North at the end of 2027. Those 2 things go together. Further details on the progress of Media Luna North is provided here on Slide 10. As we announced with our annual guidance release, total project CapEx is now expected to range between $108 million and $113 million compared to the pre-feasibility study estimate of $82 million. This increase primarily reflects the decision to purchase the mining fleet outright instead of leasing it, which just made sense in the context of this record metal price environment. Underground development is progressing very well. It sits today at about 40% complete. You can see the completed development here in gray and the development planned in red. We've already started development on the North Vent Adit and have started on the haulage tunnel from the Media Luna side coming in towards Media Luna North. With the development on track and procurement sitting at 30% of orders placed, including all long lead items, we expect first mine production by year-end and then expect to quickly ramp up this new mine through 2027. Moving on to Slide 11, I'll touch on our next development project in the pipeline Los Reyes. The preliminary economic assessment is progressing nicely and is on track to be completed by mid-year. For 2026, we have budgeted $18 million to complete the PEA, commence the PSS and conduct 20,000 meters of drilling on the property. I want to note here that delivery of the PEA is not dependent on resuming drilling activities at site given the amount of drilling completed to date. That said additional drilling will be required to adequately advance the pre-feasibility study. We have to conduct more metallurgical testing, some geotechnical work, we have work to do to derisk the resource model and in certain areas, we're looking to upgrade more inferred resources to the indicated category. I want to make a comment here on security at Los Reyes. No different than the approach in Guerrero, the safety of our employees and contractors as the most important consideration of this project. We will not resume drilling at Los Reyes until we have confidence -- complete confidence that it can be done both safely and sustainably, that's key. We're working closely with local communities, and we're working closely with all 3 levels of government to create the conditions for these employees and contractors to return to their field work. Lastly, our exploration program for the year is summarized here on Slide 12. The overall budget for this program has increased to a record $77 million for 2026. Approximately $43 million of that will be attributed to Morelos as you would expect to conduct just over 113,000 meters of drilling. Similar to previous years, the program will focus on replacing reserves and expanding resources at ELG underground and Media Luna cluster, with a smaller portion of the budget set aside to explore 2 higher priority regional targets Atzcala and El Naranjo. I've already mentioned that $18 million has been earmarked for both exploration and study-related costs at Los Reyes, these coming months here will determine whether in the extent to which it will be spent. In Nevada, we expect to spend $12 million primarily on 7,500 meters of drilling at Gryphon, where we have the option to earn into 100% of the property. Additionally, 2,500 meters of drilling will be conducted at Medicine Springs, where I'm pleased to say we earned into 100% ownership as of January. Finally, $4 million of set aside for 5,000 meters of drilling at Batopilas and early-stage targeting work at GD. All in we're pretty excited about our exploration program this year. It's quite robust with plenty of high-quality targets across the entire suite of assets. In terms of news flow, you can expect our annual reserve and resource update late March per usual, and we'll look to provide an update on some of our exploration programs in Q2. With that, I'll turn the call over to Andrew to walk through our financial results.
Andrew Snowden: Okay. Thank you, Jody, and good morning, everyone. So before we dive into the financial details this morning, I did want to take a moment just to acknowledge Jody's retirement announcement. I believe I share the same sentiment as everyone on the line that Jody has done an incredible job of delivering on her mandate as CEO. With the Media Luna project complete and a clear line of sight on production for at least the next 10 years, generating strong free cash flow and a return of capital program now in place the company is well set up for this next stage of growth. May I echo Jody's comments that the underlying message from my transition to CEO in June is one of continuity. And I look forward to continuing the strong relationship we've built with all of our stakeholders by building on the strategy we've been successful in executing over the past several years. . Moving now on to our Q4 financial performance here on Slide 14. Our excellent second half performance and the current metal price environment resulted in record margins of 51% for the year and a record 57% for the quarter. Q4 costs were slightly higher quarter-over-quarter, primarily reflecting the first quarter of paste backfill in Media Luna as well as the impact of higher metal prices on royalties. Given the timing of paste commissioning, we will incur some additional costs at Media Luna through until mid-2027 as we look to catch up on the backfilling backlog incurred during the 2025 year given the delays in completing the paste plant. The lower chart on this slide just shows a record free cash flow of $166 million generated in Q4 as Media Luna really came into its stride. Turning to our cash balance through the 2025 year are shown next on Slide 15, with record adjusted EBITDA of $730 million for the year enabled us to execute on a number of capital allocation priorities, including the acquisition of Reyna Silver for $27 million in cash repaying all but $30 million of our debt balance by the end of the year, and we subsequently fully repaid our debt in January. And we also returned $44 million of cash to shareholders through a combination of dividends and share buybacks. This is in addition to the over $350 million of capital expenditure for the year, most of which was related to the completion of the Media Luna project. Turning next to Slide 16. I just -- I do want to just take a moment here to remind everyone at the cash flow seasonality that we typically see year-on-year. While production is expected to be largely consistent quarter-over-quarter, albeit slightly second half weighted, the first half of the year is when our heaviest tax royalty and profit-sharing payments are made. I wanted to just walk through briefly here some of the key cash payments that we're expecting here through that first half period. You can expect to see a 1% royalty payment, which we pay in March each year, about $12 million. Our 8.5% mining tax payment is also due in March. We expect that to be about $55 million. And we also have the annual income tax true-up, which is paid in March and that's expected to be about $20 million this year. And this is all in addition to the regular quarterly tax installments of at least $60 million in Q1. And related to fiscal 2026 as well as a quarterly 2.5% royalty. Additionally, we do have several employee payments scheduled for the first half of the year. And this year, we paid about $30 million in January related to the company's long-term incentive plan. And in Q2, we'll see a $35 million payment related to the payment of our annual profit sharing in Mexico. And as usual, Q3 and Q4 are expected to be our strongest cash flow quarter of the year. Our balance sheet and liquidity position are clearly well set to fund these payments and we've laid out next on Slide 17. As of year-end, we had about $30 million of debt remaining outstanding, and we subsequently repaid that, as I mentioned, in January. So we're now sitting here debt-free. Total liquidity at the end of the year sat at $426 million, $120 million of which was in cash. And we continue to have access to our $350 million credit facility, which matures in June of 2029. As well as an accordion feature of $200 million that is available at the discretion of the lenders. Now being debt free, we expect our cash position to quickly build over the coming year, especially at current metal prices. And that to be available for capital allocation priorities. Overall, we're an excellent financial position to deliver and execute on these capital allocation priorities, and these are summarized on Slide 18. Our focus remains on deploying in 4 key areas: firstly, increasing mine life and expanding margins at Morelos, which we're doing so through the exploration program that Jody spoke to just a few moments ago. Growth through Los Reyes, our portfolio of early-stage exploration projects and value-accretive M&A, should an opportunity present itself. Thirdly, building on our balance sheet up to the minimum of $200 million cash. And finally, continuing to return capital to shareholders, which you can see summarized next on Slide 19. Just to touch on that return of capital. In the second half of 2025, we returned about $44 million to shareholders through our Phase 1 return of capital program. This is comprised of a quarterly dividend of $0.15 a share, the first of which was paid in December and coupled with some share buybacks. In total, we purchased over 800,000 shares in 2025 and at an average price of CAD 57 a share, and we've continued to be active on the NCIB in 2026, repurchasing over 400,000 shares at an average price of just under $67 a share. And that's year-to-date. We also just last night declared our second quarterly dividend at that $0.15 a share level. We expect to continue to opportunistically buy back shares this year and have just entered into an automatic share purchase plan to enable share repurchases at times when we are in blackout period. With numerous exploration targets in the pipeline for this year, operations at Morelos delivering ahead of expectations and the record free cash flow generation as well as the solid return of capital program in place or well set up to embark on our next chapter of growth. And with that, operator, I'd like to open the line for questions.
Operator: [Operator Instructions] Our first question comes from Allison Carson with Desjardins.
Allison Carson: First of all, I was wondering if you could discuss how the security situation at Los Reyes could impact the work you've planned for 2026 and what that could mean for the overall time line of the project?
Jody Kuzenko: Yes. Thanks, Allison. That's a good question. It's certainly on everybody's mind with the incidents occurring in Sinaloa over the course of this last month. I want to start by saying how saddened we are by the incident. I mean this is a situation where the Mexican mining community really comes together. 10 men lost their lives, 10 good miners. And it's just an absolutely tragic situation. As I said in my commentary, we had plans to start drilling this year and $18 million allocated. The team here, desktop in Toronto and Vancouver is working away on the PEA that work continues. We expect to have the PEA ready and available to market by middle of the year this year. The big question on everybody's mind is, if and to the extent we're unable to get to site for a bit of a prolonged period at what point does that start to impact the pre-feasibility study? Because as I mentioned, we have to get to site to actually do the work. And the way we're thinking about it is probably about middle of the year this year. If the teams aren't on site doing environmental baseline work additional drilling, get some additional samples for the geomet work and the Hydro G work, then the pre-feasibility study will start to be shifted out from mid-2027, down towards the end of 2027. This is not like a week-for-week month-for-month shift because, of course, we'll work to compress it because we're not going to be capital constrained here. We want to get on with building this mine, but there will be some impact if we don't have the data available to us by accessing the deposits. I will say in terms of security situation more in terms of the security situation more broadly. There are state-by-state nuances in security. And even within states, there are local nuances. And so that's very much the case here in Sinaloa. I will also say that when we made the decision to acquire this project, we diligenced this issue extensively. We knew what we were getting into. And my view is that, that was deeply reflected in the purchase price. The outcome of the events of the last month is that government at all levels is now deeply involved. They have to be. And so the work we have been doing has gained some new momentum here to enable us to create the conditions to put our people to work and put them to work safely and sustainably. So we're optimistic that, that can be achieved.
Allison Carson: That's great. It's very helpful to get all that color in there as well. My next question is just on Media Luna. With the strong mining rates out of Media Luna in Q4 and now that we're already partway through Q1. I was wondering if you could comment on whether we're seeing rates continue to advance ahead of schedule? And if it appears likely that the ramp-up will be completed ahead of mid-year .
Jody Kuzenko: I'll take that one, too, Allison. I mean, I consider the ramp-up to be complete. The difference between 7,000, 7,500 tonnes a day isn't really that significant, it's a couple of extra loads onto the belt. The real ticket to getting it ramped up stably was bringing on that last waste path. So we have an outlet for the waste and can start campaigning waste through Guajes tunnel. The other thing that has happened over the course of the last, I would say, 5 months is that we've really broken the back of the paste plant. All of that infrastructure that supports backfilling is now working very well and to design rates. And the other thing that has happened is we've connected now the pace plant to the stable source of reliable energy, which is the low voltage power line instead of using the dead set. So all of that bodes really well for this continued accelerated ramp-up and even ramp up beyond the 7,500 tonnes a day. So feeling very confident about what we're seeing out of Media Luna from a volume perspective. .
Allison Carson: Great. That's very helpful. Congratulations on the great 2025.
Operator: Our next question comes from Lauren McConnell with Paradigm .
Lauren McConnell: Jody, congratulations on your retirement announcement. And I think I speak for most and saying things, we'll obviously miss you on these calls and tours. You've been wonderful obviously, to work with from this side of things, but look forward obviously to continuing working with Andrew and the rest of the team. My first question comes about EPO or Media Luna North. What are sort of the critical path items to keep first production in Q4? Is it development meters, long lead procurement or infrastructure tie-ins. And where do you see sort of the highest risk in execution? .
Jody Kuzenko: That's a really good question. We see Media Lunas a very low-risk project. largely because there's hardly any construction to do. Remember, it just ties back into all of the Media Luna ore handling system. So there are 3 things really on the list. One is development. I mentioned how well we're progressing on it. We have no issues with continuing at the rates we're seeing. The other is landing the long-lead electrical equipment and fans and ventilation. Both the fans and the electrical equipment have been ordered. We expect those to land here in the coming months tying them in will be orders of magnitude more simple than the electrical and ventilation tie-ins that happened at Media Luna. And so the way we are looking at it is that Q4 of 2026 for first production is a very solid forecast. We very much expect to be producing ore through the back half of this year at Media Luna North, and that will then enable us to dial back rates at ELG Underground. So in terms of the overall production profile, you should be thinking about the mill as consuming 10,800 tonnes a day, 7,500 tonnes or more of that coming from Media Luna and then the delta divided in some way that makes sense between Media Luna North and ELG underground, but feeling very good about the progress of. It's a very -- I would describe it as an uncomplicated tuck-in to the Media Luna cluster.
Lauren McConnell: And then just to be clear, too, with the Media Luna North tie in. Is there any impact to Media Luna copper mining rates or processing at that time? .
Jody Kuzenko: That's actually a really good question. One of the things, as we were completing a study on Media Luna North was the integrated mine planning with Media Luna, so that we didn't get in the way of taking stopes at Media Luna or material handling, what stope is going to be available as many of the Luna North comes on as we would expect with Torex, that is very, very tightly planned. Those 2 assets need to work coherently and together so that they complement one another, not get in each other's way. And so that's planned. We don't expect any impact to Media Luna production as we bring on Media Luna North.
Operator: Our next question comes from Don DeMarco with National Bank Financial.
Don DeMarco: Thank you, operator, and good morning to the Torex team. Congratulations on the high free cash flow and the debt-free status. So my first question on the mining rates at Media Luna. So -- now that you're on the cusp of achieving that 7,500 tonne per target and sooner than expected, is there a potential? And do you see merit in exceeding this mining rate? .
Jody Kuzenko: There is potential to exceed that mining rate, Don. There will come a point in time in the not-too-distant future that we'll be talking about production from the Media Luna mine collectively, which will include Media Luna North and then eventually Media Luna East and Media Luna West. What we would do with the material is produced it laid on the ground, stock pilot and feed it through the plant in the event that we face an interruption out of the mine for whatever reason. But we will be mill constrained moving forward. And so as we start to produce more from the underground, we are actually, as a management team, turning our attention to the possibility of upsizing the flotation circuits at the mill, which will be the constraint. That could unlock some additional production from a finished ounce perspective at Morelos. And so this is an evolving increase. First, we've got to get the mines. We've got to bring EPO on and get that producing to more than 10,800 tonnes a day and concurrently do a study to see how much CapEx it would be to bring the mill back up to that 13,000 tonnes a day we used to run at when we were in open pit production, which essentially involves adding cells to the flotation circuits. So exciting times for us from a life of mine planning perspective, that I would characterize as very much as upside only here.
Don DeMarco: Okay. That's great. And that's actually -- that was my next question about the mill. I mean I think now that you're in production really hitting your stride it's -- the questions turn to the levers to optimize and upsize the operations. So you mentioned 13,000 tonnes per day at the mill, and we'll look forward to more. But is that kind of an upper limit then -- or is there scenarios before that? Or is it just too early to kind of know where this might head at some point in the future? .
Jody Kuzenko: I think there are scenarios to get us from the current 10,800 to 13,000 in a stepwise incremental way. It's not something that you should think about as all at once. And based on the information and the equipment and what we know today, you should be thinking about 13,000 in that range as an upside cap. Beyond that, we would need a new grinding circuit, which then you start to do through your life of mine very, very quickly, producing 450,000 to 500,000 ounces a year is already a really big mine.
Don DeMarco: Okay. And then maybe just as a last question. I mean, how do you manage? you have a development team and operations team. Do the 2 teams kind of work interchangeably, whether it's on development or operations? And -- or do you kind of redeploy the development team to work on North how do you kind of manage the different skill sets and sort of that's very required on site.
Jody Kuzenko: Really that's a really good question. And it will become increasingly important for us as we bring on Media Luna North and we are looking to deploy our development team and our operations team as cost efficiently as safely and as productively as possible. I don't know that interchange is the right word, but cooperatively is definitely a word. And I'm going to give you a specific example of this. We originally, when we were doing the development on Media Luna North had development reporting into the projects team, right? That's a normal thing to do. It's a new project. The project owns the project, and then we'll be handed over to the operations once it's complete at the end of the year. Because there were so many synergies available to us with equipment, with men, with material with supervision, we moved the development of Media Luna North over to be hung from the operations team so that the crews could be lined up together so that we made sure that we were maximizing productivity and minimizing costs and downtime. Just a really specific example of how we're thinking about that Media Luna deposit as a cluster. And as I said, there will come a point where we're treating it as one integrated giant mine.
Don DeMarco: Okay. And congratulations again on your retirement.
Operator: As appears, there are no more questions, this concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.